Operator: Welcome to the BioLife Solutions First Quarter 2022 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. Troy Wichterman, Chief Financial Officer. Please go ahead, sir.
Troy Wichterman: Thank you, Rocco. Good afternoon, everyone, and thank you for joining this call. Joining me on today's call are Mike Rice, Chairman and Chief Executive Officer; and Rod De Greef, President and Chief Operating Officer. Earlier today, we issued a press release announcing our financial results and operational highlights for the first quarter of 2022. As a reminder, during this call, we may make certain projections and other forward-looking statements regarding future events or the future financial performance of the company or its acquisitions. These statements are subject to risks and uncertainties that may cause actual results to differ materially from expectations. For a detailed discussion of the risks and uncertainties that affect the company's business and that qualify as forward-looking statements, I refer you to our periodic and other public filings filed with the SEC. Company projections are forward-looking statements are based on factors that are subject to change, and therefore, these statements speak only as of the date they are given. The company assumes no obligation to update any projections or forward-looking statements except as required by law. During this call, we will speak to non-GAAP or adjusted results. Reconciliations of GAAP to non-GAAP or adjusted financial metrics are included in the press release we issued this afternoon. These non-GAAP or adjusted financial metrics should not be viewed as an alternative to GAAP. However, in light of our M&A activity, we believe that the use of non-GAAP or adjusted metrics provides investors with a clearer view of our current financial results when compared to prior periods. Now I'd like to turn the call over to Mike Rice, Chairman and CEO of BioLife Solutions.
Mike Rice: Thank you, Troy, and good afternoon, everyone. Thank you for joining our call. After my remarks, Troy will present our financials for Q1. Then Rod will provide an update on key operational initiatives he's managing targeting gross margin improvements, specifically for our Stirling ULT freezer platform. And after that, we'll be glad to take your questions. Turning to Q1 revenue and customer highlights. Our team delivered another strong quarterly revenue performance, even more so considering the macro headwinds and specific supplier issues with regard to Stirling that we continue to experience and address. Total revenue was $36.2 million, up 115% from Q1 2021, representing organic growth of 45% and continued strong biopreservation media revenue growth of 53%. While we had more than a dozen cryogenic freezer orders totaling over $1 million in revenue that didn't ship in Q1 due to a mix of supply constraint issues and customer acceptance timing. These orders have either shipped or are expected to ship in Q2. These delayed orders and overall demand created a significant backlog entering Q2, and we're aggressively working through the backlog, and at this point, are tracking to our internal plan for Q2. I'd also like to echo the strong growth sentiments in the cell and gene therapy space that other life science tools companies have expressed on their recent earnings calls. From our view, despite the depression evaluations across the sector, CGT is poised for explosive growth over the next few years, and the BioLife Solutions portfolio plays a vital role in improving quality and reducing risk. We're focused on optimizing and scaling our operations to meet anticipated demand for our tools and services. Our growth catalysts and business fundamentals are strong, and we're affirming our full year 2022 guidance, including on planned expectations to return to positive adjusted EBITDA by the end of the year, which Troy will cover in a few minutes. Importantly, and turning to operations, I want to express my confidence in appreciation of the strong execution from our operations, quality and engineering teams who leaned in, got a handle on integration demands of the Stirling acquisition and continue a sustained commitment to optimize our production processes, supply chains and QC and QA functions. Critical to continuing to deliver the highest into quality and service in our industry and feeding the customer demand we're experiencing, we realized important sequential improvements in gross margin and adjusted EBITDA and remain confident that we'll continue to see the sequential improvement throughout the rest of the year. Turning back to the customer and revenue side of the business in Q1. We gained at least 189 new customers across our three products and services platforms. And to remind you now those are, first, cell processing, which includes biopreservation media and Sexton cell processing products. Second, our freezers and thaw systems platform comprised of liquid nitrogen freezers and Stirling ULT mechanical freezers and thawing devices. And finally, storage and cold chain services, which includes our SciSafe storage services and our evo cold chain management offering. New Q1 customers by product line included 23 now using biopreservation media, 7 new ThawSTAR users, 7 new evo cold chain end users, 25 new cryogenic freezer customers, 98 new Sterling ULT freezer customers, 25 new BioStorage customers and 4 new cell processing customers now using Sexton products. As a reminder, for the full year 2021, we gained at least 700 new direct customers, and we also benefit from very productive distributors with our two largest having sold and shipped our biopreservation media products to more than 4,200 unique end customers last year. Now I'll make some qualitative comments about our three revenue platforms and let Troy speak to revenue for each. For cell processing in Q1, we gained 27 new customers and received confirmation that our cell processing and media products will be used in at least 12 additional clinical trials for new cell and gene therapies. We estimate our biopreservation media products have been incorporated in more than 540 customer clinical applications, up from 450 at the end of 2020. For biopreservation media, we also remain confident that each customer clinical application, if approved, could generate annual revenue in the range of 500,000 to 2 million. To date, our biopreservation media is used in 10 approved therapies and our Sexton cell processing media and vials are used in three approved therapies. Our biopreservation media products are also embedded in at least 10 additional CGT applications for which BLA or other regulatory approval filings are expected to be submitted this year and next year. I'll conclude by saying that our biopreservation media clinical customer base includes most of the CAR T-cell developers with our products embedded in the majority of the autologous and allogeneic platforms currently in development. We expect to be able to continue to take share from home brew preservation cocktails as awareness grows in the critical role our engineered media formulations can play in reducing risk for CGT companies. We also see the recent and pending approvals of CGT products for first and second line treatments and approvals for new indications as two growth catalysts for our biopreservation media and other solutions. Turning to our freezers and thaw systems platform. Again, we gained 130 new customers, including several notable cell and gene therapy and biotech companies. We remain hyper focused on improving quality and reducing cost of our Stirling ULT freezer products. The residual supplier and quality issues we're addressing are a result of custom demand that saw our ULT team more than doubled unit production in 2021 compared to 2020. We shipped nearly 8,000 freezers last year, and this demand surge trained our supply chain and exposed some latent quality issues of an under scaled Stirling that we inherited. Rod will speak in more detail on our recovery and mitigation activities. Importantly, demand remains strong, and we're working very hard to reduce lead times with a goal of two to three week lead times for new orders by the end of June. As an update to a topic from our last call, we executed a new agreement with our largest ULT freezer distributor to add our CBS liquid nitrogen freezer portfolio to their BioLife offering. We're excited about the potential of this agreement and related sales and marketing activities to capture growth opportunities for LN2 freezers, and we'll have more to say about this throughout the rest of the year. In our final three revenue platforms, storage and cold chain services, which includes evo cold chain rentals and SciSafe storage services, we gained 32 new customers in Q1. That's 25 for storage services and 7 for evo. Our SciSafe storage services platform is growing rapidly, and we remain very optimistic about our ability to profitably scale this platform to meet demand. Our opportunities list of potential new storage services customers is robust, and we continue to assess locations for a new U.S. biorepository. This morning, we issued a press release about a new co-marketing agreement and revenue sharing agreement we executed with the Coriell Institute for Medical Research wherein both parties will cross-market our respective storage services and bioprocessing and cell analytics services. We believe this combination of complementary services will benefit biotech researchers and companies, and we look forward to reporting on this initiative later in the year once the program is in full swing. With our evo cold chain management platform, cell and gene therapy companies now have full optionality to access our class defining offering through our expanded specialty courier partner network that now includes World Courier, Quick International, Patheon, Marken and Biocare. Q1 evo shipments were up 60% over the same period last year. We have several evaluations and validations underway and expect continued growth in the platform. evo shippers are now being used to transport apheresis collection, CAR T-cell therapies, umbilical cord blood and other blood components, including plasma and other biologic materials. The list of end users of evo is really a marquee group of the leading CGT companies. As I mentioned before, we believe most CGT companies will move to validate and approve more than one shipping container and logistics partner over the next few years and that our evo platform will emerge as a leading selection. Before I turn the call over to Troy to present our financials for Q1, I'd like to provide comments on some other current activities. First, in a couple of weeks, we'll be holding our inaugural Global Innovation Summit, where all of our hardware and software engineering teams and our marketing team will come together to review the CGT manufacturing storage and distribution workflows and the various innovations our smart folks are working on to better address unmet needs to further reduce risk for our customers. Through our acquisitions, we've assembled a world-class team of experts, and I fully expect us to identify additional areas where we can further innovate to optimize current practices and add value to our customer operations. This is a mid to long-term strategy session to augment the near-term products we're developing. We'll have much more to say on this when appropriate, about result in new products and development projects that emanate from the Innovation Summit. One specific product line I can speak to is our liquid nitrogen high-capacity control rate freezer offering. Last week, we exhibited and presented at the ISCT conference in San Francisco, and our flagship high-capacity rate freezer was the star of the show. We wrote 75 total leads at the conference and nine specifically for high-capacity rate freezers. We also have three additional models of various payload capacities in our new product development plan. Now I'll pass the call over to Troy.
Troy Wichterman: Thank you, Mike. Revenue for the first quarter totaled $36.2 million, representing a 115% increase over 2021's first quarter revenue. Organic revenue increased 45% in Q1 2022 compared to Q1 2021, driven by biopreservation media revenue of $13.7 million, which was up 53% in Q1 2022 compared to Q1 2021. COVID-19 related revenue accounted for approximately 10% of total revenue in the first quarter. Cell processing platform revenue was $14.9 million, up 67% over the same period in 2021. Organic growth was 53%. Freezers and Thaw system platform revenue was $15.3 million, up 216% over the same period in 2021. COVID-19-related revenue accounted for approximately 4% of the Freezer and Thaw system platform revenue. Organic revenue was down 3% due to supply chain constraints and COVID-related customer acceptance delays in our cryogenic freezer platform. Adjusting for this delayed revenue, which we expect to recognize in Q2, organic revenue for this platform would have been up 23% compared to the same period in 2021. Storage and storage services platform revenue was $6 million, up 95% over the same period in 2021. COVID-19 related revenue accounted for approximately 52% of the storage and storage services platform revenue, organic growth was 95%. Adjusted gross margin for the first quarter of 2022 was 33% compared with 55% for the first quarter of '21 and 18% for the fourth quarter of 2021. The positive impact sequentially was largely due to lower warranty expense at our ULT platform, as well as favorable product mix, and we expect to see a positive impact on margins throughout 2022 due to leveraged operational overhead and the benefits of our supply chain efforts, which Stirling did not have in place previously. Adjusted operating expenses for Q1 2022 totaled $19.8 million compared with $8.8 million in Q1 2021. The increase in operating expenses was primarily driven by the absorption of operating costs related to our Stirling and Sexton acquisitions. In addition, operating expenses increased due to increased accounting costs associated with large accelerated filer status, as well as increased headcount and stock-based compensation expense necessary to support our overall growth objectives. Our adjusted operating loss for the first quarter of 2022 was $8 million compared with adjusted operating income of $494,000 in Q1 2021. Adjusted EBITDA for the first quarter of 2022 was negative $814,000 compared with positive $2.8 million for the first quarter of 2021, a negative $5.5 million for the fourth quarter of 2021. We expect this number to steadily improve throughout the year, resulting in full year 2022 positive adjusted EBITDA. Our cash balance at March 31, 2022, was $59.5 million compared to $69.9 million at December 31, 2021. Taking into consideration our adjusted EBITDA of negative $800,000, cash used in Q1 2022 was related to unfavorable working capital adjustments of $7.3 million, which was primarily due to timing and capital expenditures of $2.3 million, including build-outs of our biorepository facilities. Turning to 2022 revenue guidance. Management affirms full year guidance to be in the range of $159.5 million to $171 million, reflecting year-over-year growth of 34% to 44% and organic growth of 28% to 39%. COVID-19-related revenue is expected to account for approximately 8% to 9% of total revenue. Total revenue expectations for 2022 include the following platform contributions. Cell processing platform is expected to be between $64 million to $67.5 million, an increase of 42% to 50% over 2021 and organic growth of 30% to 35%. Freezers and Thaw systems platform is expected to be between $74 million to $77.5 million, an increase of 31% to 37% over 2021 and organic growth of 28% to 39%. COVID-19-related revenue is estimated to account for less than 5% of the freezer and thaw systems platform revenue. Storage and storage services platform, total and organic revenue is expected to be between $21.5 million to $26 million, an increase of 22% to 48% over 2021. COVID-19-related revenue is expected to account for an estimated 40% to 50% of the storage and storage services platform revenue. The COVID-19-related revenue is based on contracts, and therefore, we do not expect to see variability on this number through the balance of the year. Finally, in terms of our new share count, as of today, we have 42.4 million shares issued and outstanding and 44.4 million shares on a fully diluted basis. Now I'll turn the call to Rod.
Rod De Greef: Thanks, Troy. As we discussed in our last earnings call, my main focus in stepping back from the CFO role and turning the reins over to Troy, who by the way, is doing an excellent job, has been addressing and correcting the near-term supplier quality and production issues at the Stirling facility in Athens, Ohio. What we inherited in the transaction and recognized quickly once inside was that Stirling had experienced tremendous growth, which as a reminder, was a 100% increase in unit production between 2020 and 2021, and they had not scaled to accommodate that growth on multiple levels. With the commitment and effort of a lot of people at that facility, as well as the experience the BioLife team brings to bear, we've made good progress on all fronts, which has resulted in a modest but positive like-for-like sequential increase in gross margin for that product line. While we still have a lot of work to do, we're on the right track and regular and consistent progress is being made, which I believe will have a further positive gross margin impact as we move throughout the year. Acquisitions and integrations present new and different issues, and I'm confident that we have our arms around this and are on the right path going forward. Over the last several weeks, I've been able to shift some of my focus to spend some time at our three manufacturing sites, as well as our newly opened biostorage facility in Amsterdam. While there are always opportunities for operational improvement, in general, these operations are running smoothly with no material issues outside of a number of external supply chain constraints similar to what many companies in our industry and others are facing. A prime example of this kind of situation is a key vendor for our LN2 freezer line who had both labor and supplier issues during this quarter, which negatively impacted their ability to deliver a key component to us in the quantities we have - had on order since last year. This, in turn, impacted freezer production and revenue by approximately $650,000 in the quarter. Several months ago, we entered into a supply agreement with a secondary vendor. But based on the lead times for this unique custom item, we don't expect product from them to flow until late this quarter or early Q3. But we have now secured a dual-source supply of this critical component, which would make - mitigate any supply chain risk in this area going forward. A top priority for our VP of Supply Chain Management is to implement dual sourcing on as many components and raw materials as possible across our product platforms, and we are well into that initiative. This is always a smart move, but in these unprecedented times is becoming even more critical. Fortunately, alternatives exist for most things, and we plan to have maximum redundancy in place by the end of the year. We've also discussed another key objective on previous calls of establishing a revenue-generating service offering and that we have a pilot program up and running, although minimally staffed at this point. In Q1, this program generated approximately $79,000 in revenue with one dedicated FTE, and we're confident that there's a strong high-margin revenue opportunity as we finalize the offering initially for the freezer line and build out our field service organization throughout this year and into next. Finally, I'll take a moment to address the near-term delay experienced with our ERP implementation, which resulted from our delayed 10-K filing. While frustrating for sure, we're now at a point where the accounting side of NetSuite is expected to go live for a number of our subsidiaries later this week post our 10-Q filing. The balance of the implementation plan is coming together, and we continue to expect to have the full accounting and manufacturing applications up and running by the end of the year and middleware connectivity to numerous other applications entity-wide by Q1 of next year. In closing, I'd like to reiterate that we've made good progress on working through the Stirling issues and with the other opportunities for improvement we have in front of us, I expect to be able to report continued progress on a quarterly basis. Now I'll turn the call back over to Mike.
Mike Rice: Thanks, Rod. So the key takeaways I'd like to leave you with are, number one, demand for our portfolio of class-defining bioproduction tools and services remains strong, and we fully expect to meet or beat our full year revenue guidance. Number two, we expect to demonstrate continued sequential improvements with the operations and margins in our ULT-freezer platform and to realize positive adjusted EBITDA for the entire business by the end of the year. And number three, we're focused on innovative new product launches for this year and next and are seeing the tangible and real signals of lift-off in cell and gene therapy. The last comment I want to make before taking questions is that we believe in the growth ahead for the business, the value of BioLife and our alignment with you, our shareholders. With that, several members of our leadership team, including myself, have agreed to accept BioLife stock in little part of our salaries. Our Board members have also agreed to accept BioLife shares in lieu of their cash board fees. We're all fully confident we will continue to grow the business in this environment where our catalysts and business fundamentals are strong and intact, and we look forward to being rewarded in line and accordingly. Related to this, apart from some occasional sell-to-cover stock sales transactions to cover taxes for upcoming vesting events, my long-standing portfolio diversification plan sales are now complete. This is a great moment for BioLife and the cell and gene industry in a difficult macro and public market environment, but I'm pleased to say that overall product demand so far in Q2 is strong, and we're looking forward to sharing our results on our Q2 earnings call. Now I'll turn the call back over to the operator to take your questions. Rocco?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Today's first question comes from Max Masucci with Cowen and Company. Please go ahead.
Max Masucci: Hi. Thanks for taking the questions. Mike, first one, you called out the dislocation between the high growth that we continue to see in the cell and gene therapy end markets, the weakness we've seen in the public arena. So if we take a step back here, you look at the company's revenue growth trajectory here in 2022, the gross margin recovery that's underway. What gave you the confidence to swap stock for cash compensation? And then I would be curious to hear if there's any limit to the percentage of stock that your leadership team could swap?
Mike Rice: Yeah. Thanks, Max, and really good question. I'm glad to offer some other color comments. I fully believe in the business, the team here, our ability to execute. And at these silly depressed share prices. I'm looking to accumulate as many shares of BioLife stock as I can. And it's going to range by individual Max from 50% to 100% will come in the form of stock as opposed to cash.
Max Masucci: Got it. Moving to the co-promote. Is there any detail you can provide around the makeup and the profile of Coriell your partner's customer base, whether the co-promote gives you increased exposure to any specific customer types or geographic regions where you were previously underexposed? And then any detail around the structure of the agreement and the split of revenue sharing would be great.
Mike Rice: Sure. I'll start with the last one. It goes like this. Whoever originates obviously gets a little finder's fee. And if that originator does the work, meaning the service they can provide, they get, again, most of it. But if not, it's just - it's sub-single or mild single digits for the referral fee and all the rest goes to the other party, depending on who does the work.
Rod De Greef: Max, with respect to Coriell's customer base and highly aligned with some of the broader biopharma companies we'd like to crack into. I can say, candidly, there have been some storage opportunities over the last few years with SciSafe that we've bid on but didn't win because we couldn't offer comprehensive cell analytics services and now we can, through a world-class partner. So that's going to be great. I don't see us no bidding on any opportunities now, now that we've got this agreement in place. So really excited about it. But it's going to be focused on customers who need storage and they need some tumor [ph] analysis, DNA extraction, other analysis on cell types, whether it's to characterize master cell banks, working cells or things like that.
Max Masucci: Okay. Final one here for Troy and Rod. And nice to see the gross margin recovery. As we just fine-tune the gross margin expectations in our models, is there any additional detail you can give us in terms of the pacing we should expect on the gross margin front in the coming, call it, three quarters and whether there are any other gross margin swing factors that we should be taking into consideration?
Troy Wichterman: Thanks for the question, Max. Yeah. So as I addressed in my commentary, we do expect sequential modest improvement in gross margin. And to address your question on the margin swings, we do not anticipate any big swings one way or the other on the gross margin side at this point in time. 
Max Masucci: Got it. Thanks for taking the questions.
Mike Rice: Thanks, Max.
Operator: Ladies and gentlemen, our next question today comes from Jacob Johnson at Stephens Inc. Please go ahead.
Jacob Johnson: Hey. Good afternoon, everybody.
Mike Rice: Hey, Jacob.
Jacob Johnson: Hey, Mike. Maybe starting on Stirling. It seems like the business development trends are really strong there. Can you talk about any impact from these operational issues on kind of selling the Stirling freezers? It doesn't sound like you've seen any and then your ability to deliver on that the demand you're seeing there?
Mike Rice: Yeah. Sure, Jacob. I will say that while we're in this relative precarious position, we're, I would say, appropriately nervous about every order, but we're confident that we'll be able to retain nearly all the orders. Some customers just as in Q4 and in some cases, in Q1, some customers couldn't wait so they had to buy something from somebody else. But we have not seen - we have not seen any mass erosion or order cancellations to the contrary due to, I think, the efforts of our sales team and just the incredible degree of integrity that they have being transparent with our customers about what's wrong and what we're doing to fix it. They're preserving a backlog and they're continuing to generate new orders. So, so far, so good. We just can't get through it fast enough. Let me just say it that way.
Jacob Johnson: Got it. Understood. And then evo, 60% growth in shipments year-over-year. So it seems like you and your courier partners are seeing traction there. I'm just curious, as we think about the volumes there, how much of that is kind of you getting into the early-stage clinical trials? How much of it is these kind of second sourcing wins of commercial therapies. Maybe just kind of talk about where you're seeing traction with new customers on the evo side?
Mike Rice: Yeah. Jacob, super insightful question. Most of the evo shipments are transporting an approved CAR T-cell therapy or the ZOLGENSMA approved gene therapy. And then the bulk of the rest are all early stage, early clinical trial face customers. And that list of the number of customers and the names of those customers is long and very well known. So I think it's all going the right way here. The other evo validation underway by a company with two approved CAR-Ts continues to rock and we look forward to reporting on that hopefully later in the year.
Jacob Johnson: You answered my next question, so I'll leave it there. Thanks, Mike.
Mike Rice: Sure.
Operator: Ladies and gentlemen, our next question today comes from Thomas Flaten with Lake Street Capital Markets. Please go ahead.
Thomas Flaten: Great. Thanks for taking the question. Hi, guys.
Mike Rice: Hi, Thomas.
Thomas Flaten: Two quick questions. Mike, in your prepared comments, you mentioned, I don't want to paraphrase taking share from the home brew market with media. Do you have a sense of the growth that you're seeing? How much is just the tide lifting all boats versus you taking share? Do you have any - I mean I don't know if you can quantify it, but any qualitative comments you have around that?
Mike Rice: Sure. I think, Thomas, that we are taking share. I think that our seeding the use of CryoStor, HypoThermosol in the researches only market, some of which will translate into clinical, also the pure clinical markets and then the later-stage clinical trial phase projects, which hopefully will get over the goal line here in the next couple of years or so. I think we're definitely seeing more uptick more traction. And I think that as new groups get formed, or spun out of academic centers or clinical centers that they're defaulting to using CryoStor versus defaulting to use a home brew. Now I can't quantify that with any sort of precision, but that's just my sense. And when I connect with Aby Mathew, our CSO and EVP, and I think back to just an hour or so ago, when he came in and gave me an update on the ISCT conference, and all the people that line up to talk to him and the other parts of our team, I mean just tremendous amount of exposure and awareness of what we've got here. And frankly, because a lot of people haven't traveled for the last couple of years, much more awareness and the discovering that BioLife is a much different company with a much broader portfolio. So I think the way we run the playbook to get media adopted in CGT is clearly going to pay off. And again, the thesis of our acquisition strategy to leverage those sticky media customers to sell them more things in the portfolio, I fully expect us to realize that and execute on that as well throughout the year. So good to be back, good to be out in front of people and feeling really good about what's going on across the platforms.
Thomas Flaten: Great. And then one related to the new facilities that you opened have opened Amsterdam, Massachusetts and New Jersey. Any sense of what the - or I'm sure you know the customers, new customers, old customers relocating? Just trying to get a sense of how those new facilities are being utilized by your customer base?
Mike Rice: Sure. It's a mix, Thomas, it's a mix of existing customers that are giving us much more business and many more projects to store, whether they're existing or brand new or whatever, but just getting much deeper for sure. And then obviously, new customers, de novo who are coming to us for the first time who have made that decision to outsource storage versus trying to take it on in the house and everything that goes along with that.
Thomas Flaten: Excellent. Appreciate the question. Thanks.
Mike Rice: You're welcome.
Operator: [Operator Instructions] Our next question comes from Suraj Kalia with Oppenheimer. Please go ahead. Hello, Suraj. Your line is open.
Suraj Kalia: Mike, Rob, can you hear me all right?
Mike Rice: Hi, Suraj. Yes, we can.
Suraj Kalia: Sorry, apologies. I'm having some phone issues. Mike, just hopping in between calls, I believe I heard you say 75 or so leads for high-capacity freezers that you'll have picked up. Did I get that right?
Mike Rice: Somewhat. I said 75 total leads at ISCT last week in San Fran and 8 or 9 for high-capacity freezers.
Suraj Kalia: Mike, how much of your guidance is predicated on meeting any or some of these leads?
Mike Rice: Thanks for asking, zero. It's all upside, Suraj...
Suraj Kalia: So this would be all upside. Fair. Mike, one of the things that has been lost in the discussion about freezers and ULT is the [indiscernible] thaw system, how is the performance of the thaw system been? And also specifically on the freezers, can you give us a relative framework on year-over-year unit growth, customer growth? I'm more interested on the unit growth on the freezer side specifically?
Mike Rice: Sure. Let's start with that. You may have heard Rod's comments from a few minutes ago, I'm not sure. Suraj, in 2021 versus 2020, we doubled ULT freezer production. So we shipped about 3,500 or so in 2020 and nearly 8,000 in 2021. And a fair amount of that was COVID lift transporting vaccines in that. But nevertheless, just phenomenal freezer unit capacity and production there. On the CBS side, the LN2 side, not newly to that scale, but nice decent growth for sure.
Suraj Kalia: Got it. And Mike, in terms of the management and Board comp until August in terms of stock. It's an interesting move, and I'd love to get your perspective, was this - what was the primary driver? Was it some inbound concern? Obviously, you're telegraphing confidence based on the guidance. And I'm curious, when you layer on this comp or the stock comp, just kind of give us some perspective on the shift because I haven't heard anyone else go down this route? Gentlemen, thank you for taking my questions.
Mike Rice: Yeah. Thanks, Suraj. And good question. Typically, as you know, when we see this, it's because companies are distressed or they're going to run out of money or something. That's not the case at all here. To the contrary, our business fundamentals are intact. And at these - I use the word silly, I'll just call it stupid at these stupid prices for BioLife, we want to do everything we can to convey confidence in our ability to execute and to be rewarded commensurately with all shareholders if we do execute. So the prospect of taking shares at $10 or $11 or $12 or $13 is really meaningful and glad to do that for at least three months, and we've got a number of senior leaders here who are signing up for the program in addition to all the Board members. So it's nothing more than that. It's about sending a signal that we are fully confident in our ability to grow the business to meet or beat this year's guidance and to turn BioLife into something that is much more valuable than it is today. We can't fix everything. The macro trends are so strong, but all we can do is winner [ph] losing our own lane, and this is one way that we intend to do that.
Suraj Kalia: Great. Thank you.
Operator: And ladies and gentlemen, this concludes the question-and-answer session. I'd like to turn the conference back over to Mike Rice, Chairman and CEO, for closing remarks.
Mike Rice: Thank you, Rocco, and thanks again, everyone, for your interest in BioLife. We remain confident in meeting or exceeding our '22 revenue guidance and in reaching our stated midterm financial goals. Thank you for your support of BioLife. Good evening, everyone.
Operator: Thank you, sir. Today's conference has now concluded. We thank you all for attending today's presentation. You may now disconnect your lines, and have a wonderful evening.